Operator: Greetings, and welcome to the CorEnergy First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Lesley Robertshaw, Investor Relations. Thank you. You may now begin.
Lesley Robertshaw: Thank you, and welcome to CorEnergy Infrastructure Trust's first quarter 2016 earnings call. I’m joined today by Rick Green, CorEnergy’s Executive Chairman; David Schulte, CEO and President; and Becky Sandring, Treasurer, Secretary and Chief Accounting Officer. The presentation materials for this call, as well as information included in our press release issued Tuesday and an audio replay of this conference call will be available on CorEnergy’s website. We would like to remind you that statements made during the course of this presentation that are not purely historical may be forward-looking statements regarding CorEnergy or management’s intentions, estimates, projections, assumptions, beliefs, expectations and strategies for the future. All such forward-looking statements are intended to be subject to the Safe Harbor protection available under the applicable securities law. Because such statements deal with future events, they are subject to various risks and uncertainties and actual outcomes and results might differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents can be accessed through the Investor Relations section of our website. We do not update our forward-looking statements. At this time, I would like to turn the call over to President and CEO, Dave Schulte.
David Schulte: Thank you, Leslie. On Slide 3, we highlight a few key events which occurred in recent months. We announced our first quarter dividend in April of $0.75 and we believe this level of distribution is sustainable as we continue to receive the contracted lease payments from all of our tenants. We have begun utilizing our share repurchase program today having used just under $0.5 million. Based on our need to use our line of credit to refinance our asset level term debt during the quarter, we felt that maintaining availability was more important than an extensive use of our stock repurchase program. Nonetheless, we may reinstitute it in the future. Now more importantly, as many of you know, the parent companies of two of our largest tenants Energy XXI and Ultra Petroleum recently filed for bankruptcy. In the case of Energy XXI, our tenant was not included in the bankruptcy filing and therefore it must continue to fulfill all obligations under the Grand Isle Gathering lease. The more recent filing from UPL however did include both the parent and a subsidiary tenant in the bankruptcy process. While we're not allowed to take certain actions against the tenant pending affirmation of the lease, the tenant is expected to fulfill certain obligations of its own, including the timely payment of full rents during bankruptcy. Now these recent events are testing the remodel for infrastructure ownership. Let’s spend time reviewing the key elements of the remodel we’re implementing. On Slide 4, we outline our strategy as it relates to the operating characteristics of the physical assets which we seek to own, which will provide the desirable investment characteristics for infrastructure investors. Let’s review how our assets fit inside those criteria and by owning assets close to the well head, we have established very high barriers to entry, long reserve lives of the field we serve provide long duration cash flow potential. Our contract terms with rents provide certainty on revenue without direct commodity price or volume sensitivity. We believe our real estate ownership provides a higher level of priority and bankruptcy than other contracts offering a utility like risk profile and while demand and utilization of our assets will decline over a very long time, we plan for that in our dividend coverage ratio, so that our dividend payout is sustainable. By trusting these operating characteristics we believe we’ve created a vehicle which satisfies investment characteristics desired by infrastructure investors and none of our structural success matters however, if we miss on the economic criticality of the assets we own. So let’s review the key data points around GIGS and Pinedale supporting our belief that we got it right. On Slide 5, we referred the data provided by Energy XXI in their recent filings. In the first chart we estimate that 40% of the company’s overall reserves are approximately $1.7 billion of value at recent strip prices is dependent on our pipeline. Access to this asset is critical to the long term commercial viability of Energy XXI at any point in the commodity price cycle low or high; exploitation of these reserves is part of the core foundation of the company. Regarding the viability of the field itself, you can see Energy XXI success in cost reduction for its operating expenses and its expectation of continuation of this trend. With this cost structure and these reserve values we expect this field to produce long beyond our two initial lease terms of 20 years. As demonstrated in the cost chart, the CorEnergy lease expense which we estimate at $1.60 per BOE is not a large part of the cost breakdown despite how integral access to our system is in turning those reserves into revenues. Furthermore, Energy XXI noted that interest expenses not depicted in this chart of roughly $14 per barrel could be eliminated in the bankruptcy process. On Slide 6, let’s look at similar characteristics for Ultra Petroleum. We estimate that over $3.5 billion of total reserves are serviced by the Pinedale Liquids Gathering System, which is located in a field that we believe will remain productive for 35 to 40 years. This company has continued to drive down operating cost for its wells, which also reduced the price point at which continued drilling is economic. The chart at the bottom right shows that the Pinedale Field, here represented by UPL's cost is actually one of the lowest cost fields in North America. Similar to Energy XXI, the CorEnergy lease expenses very small at $0.07 per Mcf, given its high level of importance as it serves the vast majority of the company's reserve base. On Slide 7, and despite the value of the reserves in the low cost profile of these operators both are currently in a bankruptcy situation and the headline risk of that has put pressure on CorEnergy share price. Therefore we wanted to outline the process we expect going forward for each company. As you can see, there are number of events, which will need to occur before both companies can emerge from bankruptcy, Energy XXI and Ultra Petroleum including its subsidiary have now filed Chapter 11, two events which were largely expected by the market and marked the beginning of the bankruptcy process. The Energy XXI subsidiary, which is our tenant, currently remains outside the bankruptcy as we mentioned. In Ultra Petroleum’s case, we do expect to continue to receive timely rents until our lease is ultimately accepted or rejected by the tenant. Our team will remain active in monitoring these proceedings and disclose any developments as they relate to CorEnergy’s leases as appropriate. Our Chief Accounting Officer, Becky Sandring will next provide an overview of our financial results for the first quarter.
Becky Sandring: Thank you, Dave. This week we filed our 10-Q for the quarter ended March 31, 2016. Today we would like to highlight key metrics we believe reflect CorEnergy's performance. On Slide 8, we show FFO as calculated by NAREIT. FFO adjusted to take out the effect of private equity and adjusted FFO. A reconciliation of these measures to net income is provided in Slide 13 of these materials. For the first quarter of 2016, AFFO is $1.07 per basic share. We believe this metric is a good measure of long-term sustainable, operational performance for CorEnergy. In the first quarter, we established a provision for loan loss for our forward financing note. This increased expenses by approximately $4 million net of taxes or $0.34 per share. To calculate AFFO, we add back this expense as it is not reoccurring in nature. Investors in REIT often look at the coverage ratio of AFFO to the dividend payment to assess stability. For the first quarter, our coverage ratio was approximately 1.4 times. The margin between AFFO and dividends provide CorEnergy ample return of capital via debt repayment and capital reinvestments and allows us to maintain our current dividend. As we look at Slide 9 we have an overview of our capital structure including a summary as of March 31. 2016. Once again the two ratios that we pay attention to remain within our targeted ranges. Our total debt to total capitalization ratio of 33.7% remain within our target of 25% to 50%. The second ratio is preferred to total equity at 13.7% which is well below our target level of 33%. This conservative capitalization structure allows us to maintain sufficient coverage of our earnings to both fixed charges and preferred dividends and limits risk to the dividend payment. As previously announced, we refinanced our Pinedale credit facility on March 30, 2016. We drew $44 million on our revolver and used roughly $3 million of cash to refinance our portion of the outstanding balance. CorEnergy now has approximately $54.2 million of availability on its revolver and $12.8 million of unrestricted cash. This liquidity can be used for future acquisitions, share and debt repurchases and repayment and general corporate needs. With that I will turn it back over to Dave.
David Schulte: Thanks Becky. In this quarter’s Overheard in the Corridor, we would like to compare the critical nature of our assets to the recent court ruling described in the Sabine Oil & Gas Chapter 11 process. Sabine used Chapter 11 to reject their gathering agreements, the Judge ruled that those agreements were service contracts tied to personal property of Sabine and that there were no real property interest held by the gathering system to be protected. In contrast, our contracts are for occupancy of real property. Now both types of contracts can be rejected in Chapter 11, but real property owners may seek the remedy of terminating access to that real property. So the next question is whether there is any economic alternative available to the producer? Sabine believed that it had a lower cost alternative that would save over $35 million over the life of their contract. Our tenants by contrast have acknowledged that their alternatives effectively would be higher cost. Energy XXI chose to leave our lease out of the filing completely. UPL disclosed in their 10-Q the same day as their filing that while they did not need access to Rocky’s Express Pipeline, losing access to our pipeline would be materially adverse to them. In conclusion, we believe these tough times in the energy market are revealing the benefits of the REIT model for energy infrastructure ownership, developed and implemented by our team. We own commercially critical assets with a strong lease contract in a structure that can be owned by all investors. And now I would like to open the line to questions. Operator?
Operator: Thank you. At this time we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Nick Brown from Zazove Associates. Please go ahead.
Nick Brown: Hi, thanks for taking my questions. Just a quick question about what's disclosed in the 10-Q for the amounts outstanding on the Regions credit facility. It looks like you only show the $42.3 million term loan. Why isn't that revolver balance shown there?
David Schulte: Becky, you want to respond to reclassified?
Becky Sandring: Yes, so on the state of the balance sheet you can see the $44 million that has been drawn from the line of credit. I believe the net that's back in the financial statement notes for the credit facility, I believe that's what you're referencing and that amount has -- am I thinking about the right spot? I just want to make sure I’m looking at the right thing.
Nick Brown: Yes. I was looking at note 12, the credit facilities of the REIT, where you say the amount outstanding under the REIT, you show the amortization of the Regions credit facility but you don't seem to include the revolver. I thought that was part of that same facility.
Becky Sandring: Okay. So the $42 million is directly related to the GIGS asset acquisition last year and the $44 million that we just drew is on the revolver itself. So, the GIGS piece is actually a term loan and that’s the $42 million that you were talking about that has been amorting. As we disclosed previously, the $44 million that I was showing on the front that is the revolver being drawn and that has not amorted yet. That draw just happened when we refinanced Pinedale.
Nick Brown: Okay. Thank you.
Operator: [Operator Instructions] And our next question comes from Michael Zuk from Oppenheimer. Please go ahead.
Michael Zuk: Good afternoon, everybody. On the balance sheet, you have a line item that says assets held for sale less cost to sell. What's the status on trying to get that asset sold? Do you think that the carry amount that you have there is realistic?
David Schulte: Mike, we are actively engaged in a process to try to find a suitable operator. Our strategy really is to look for contribution of those assets towards an operator that would enable us to earn out some portion of the total proceeds over time and have a better chance of recouping our capital than selling them off for cash today. What you see in the balance sheet is basically the latter. It’s what do we think would happen if we sold everything for cash today? But it’s not our estimate of ultimate potential recovery from here.
Michael Zuk: I think that answers it. So you're taking the conservative approach and we'll see what unfolds in the next two, three quarters.
David Schulte: That’s exactly right and the amounts on the balance sheet also drive down our management fee. So, from an alignment standpoint, we're calculating our fees off the lower number, not the cost of what we paid for it.
Michael Zuk: Very good. Thanks.
Operator: [Operator Instructions] And if there are no further questions, I would like to turn the floor back over to management for any closing remarks.
David Schulte: Thank you, everyone for your continued attention. We look forward to commenting again next quarter, hopefully with further constructive news around the status of our leases with our tenants. Thanks very much.
Operator: This concludes today's conference. Thank you for participation. You may disconnect your lines at this time.